Operator: Good morning. My name is Rob and I will be your conference operator today. At this time, I would like to remind everyone to the TESSCO Technologies, Inc. Third Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session.  Thank you. David Calusdian from Sharon Merrill. You may begin your conference.
David Calusdian: Good morning everyone. And thank you for joining TESSCO's Q3, fiscal year 2022, Conference Call. Joining me today are Sandip Mukerjee, TESSCO's President and Chief Executive Officer, and Aric Spitulnik, the Company's CFO. Please note that management's discussions today will contain forward-looking statements, about anticipated results and future prospects. Forward-looking statements involve a number of risks and uncertainties, and TESSCO's results may differ materially from those discussed today. Information containing factors that the main cause such a difference, can be found in TESSCO's public disclosures, including the Company's most recent Form 10-K, and other periodic reports filed with the Securities and Exchange Commission. With that introduction, I would like to turn the call over to Sandip. Please go ahead.
Sandip Mukerjee: Thank you, David. And good morning, everyone. Thank you for joining us. Our positive momentum continued in this third quarter. Revenue and bookings were up 3% and 7% respectively, year-over-year. And our backlog grew to a new record of $68 million, which is up $34 million since the end of FY2021. All of this demonstrates the growing demand for our products and services, along with the success of our sales and business development improvements. We also drove strong increases in our margins with gross profit up 13% year-over-year, while our diligent cost management resulted in an improvement in operating income and adjusted EBITDA of over $6 million.  This also marks the fourth consecutive quarter of sequential increases in adjusted EBITDA, which ended the quarter at a positive $1 million. These results are particularly impressive given the backdrop of industry-wide supply chain issues and inflationary pressures, which have contributed to product delays, and increased freight costs. These challenges do not show signs of easing in the near term, but we continue to work with our customers and suppliers to mitigate their operational impact, as we move forward with our strategic initiatives and turnaround efforts. The market is growing, our customers are bullish, we’re seeing a robust uptick in demand, and our results are improving.  I will now walk you through the results and highlights of this past quarter in the following format. First, our two markets, carrier and commercial. Second, the three key elements of our business, namely distribution, Ventev and software, and third, our performance on tessco.com. Starting with our carrier business, Q3 marked another strong quarter for revenue in this market. Q3 revenues were up 1% year-over-year, and up 19% for the first 9 months of the fiscal year. Backlog at the end of Q3 was $33 million up 10% over Q2 and up 83% since the beginning of this fiscal year. Also, the third quarter was a record for gross profit, which increased 15% year-over-year, and 36% year-to-date.  Our continued growth is due to our logistics and supply chain management expertise, our proprietary engineering and production capabilities, our carrier specific knowledge, and our business development efforts. The strongest growth in this market was from our contractors and tower owners. Contractor revenue was up 32% year-over-year, while tower owner revenue was up 11%. Looking ahead, tower owners are telling us that they expect Calendar 2022 to be a strong year for DAS installations. We are also expanding our tower solutions portfolio to include steel, security, and surveillance material. On our last earnings call, I discussed a number of new strategic customers, including one of the largest wireless carriers and the largest broadband company in the U.S.  As expected, we began shipping to these new customers in the third quarter and expect increased demand from them throughout the calendar year. 5G continues to be a key market driver in this space and represents about 25% of our carrier spend. Our business development efforts have been highly effective, raising our market share with existing customers, and expanding the number of customers we serve. As a result, we have a more diversified customer base with less revenue concentration in this market than ever before. Turning now to the commercial market, which includes all wireless infrastructure business, outside the carrier ecosystem. In the third quarter, Commercial revenue was up 5% year-over-year and up 6% for the first nine months of the fiscal year.  Gross profit increased 13% year-over-year and 10% year-to-date. Additionally, bookings grew 9% sequentially and 18% year-over-year. While backlog grew 40% sequentially up to $35 million and was up 119% since the beginning of this fiscal year. Our utility segment had a strong quarter, up 32% sequentially. This growth was driven by increased broadband radio sales and IOT projects, where utilities were engaged in grid modernization. Utilities have some of the largest corporate fleets and we have been selling equipment for fleet upgrades.  We continue to see demand for private LTE networks as a foundational wireless platform that utilities can use to consolidate technologies under one network. We expect this to be a key driver for the remainder of this fiscal year and throughout calendar 2022. Furthermore, we are seeing positive results through our Nokia Global Partner Program relationship, and already have over $2 million in registered projects in the pipeline. Turning to VARs, our VAR business grew 11% year-over-year. Much of that growth came from large hospitals and venues that are part of the AT&T Enhanced in-building, or EIB program.  A number of other VAR customers, completed projects in the third quarter, across many industry verticals. Including a multinational transportation company, a global online business, and cloud computing company, a rapid transit system serving one of the largest metropolitan areas in the U.S. and the largest bakery company in the U.S. Sales for transportation companies grew 32% year-over-year, and 66% sequentially, we are serving customers that are upgrading their wireless networks. For example, by placing communications based controls on trains, with ridership now beginning to recover after a long downturn.  Transportation companies are again investing to improve safety and enhance the commuter experience. I will now turn to the three elements of our business, namely, distribution, Ventev, and software. Starting with our distribution business, where our goals for this year has been to grow market share, enhance our product and service offerings, and improve efficiencies throughout the organization. Our revenue and bookings growth, especially in the carrier market, demonstrates that we are indeed growing market share. Secondly, we continue to add strategic brands to ensure that we provide the most comprehensive product portfolio.  This quarter, we added Uniden, which provides boosters that will help us simplify deployments in the public safety and commercial DAS space. We also added , who's enteric certification helps us provide IOT solutions for our industrial customer segments. And we added solid RF, which provides access to fiber DAS product lines. Additionally, we're making progress on our cost efficiencies, as evidenced by our significant reduction in SG&A as a percentage of revenues, which totaled 18.9% this quarter, compared to 23.8% in the year-ago period. Our efforts to improve profitability resulted in gross margin of 19.1% this quarter, compared to 17.4% for the third quarter of last year.  This was largely due to a favorable customer and product mix, and was driven by a 23% increase in Ventev revenues. Furthermore, we expect to largely complete our IT modernization over the next few months. As we have discussed before, this effort will provide us with significant cost efficiencies over time and we'll make TESSCO even easier to do business with. Regarding our Ventev business, we had record sales this quarter, totaling $8.8 million.  This represented sequential growth of 9% and year-over-year growth of 23%. Additionally, this was the fifth consecutive quarter of revenue growth. Ventev bookings grew 39% year-over-year and that's the highest we have ever achieved. We were able to do all of this while maintaining our margin performance. In Q3, we had several new business wins, including providing products solutions to increase connectivity for vehicle production lines at the world's most valuable automaker; 2. Outdoor, wireless parking lot coverage for the largest tire retailer in the U.S.; 3. The continued rollout of multi-type distribution centers for the largest home improvement retailer; 4. A WiFi refresh, utilizing our Meraki Access Points for a multi-billion dollar food distribution company, 5. And maximizing EP coverage and performance for a multi-billion dollar global retailer with operations warehouses.  This project use Cisco APs with customized Ventev antennas, requiring fewer access points to achieve the customers ' coverage goals. This quarter, Vantev launched several new products, including support for additional APs for our Universal Handrail Enclosure, integrated AP enclosure lines for hazardous environments, new antennas, including warehouse, and concealed floor panel antennas, and new warehouse Co-location mounts. Regarding our software business, as we announced in December, our device life-cycle management platform, will be offered to our channel customers, to provide them with a means to monetize device management, and monitoring.  This will enable them to provide additional services such as extended warranties, service level agreements, and more efficient field operations. During this quarter, we announced support for new BDAs on this platform, from combat and westell to provide monitoring to the public safety sector, along with an agreement with communications electronics to incorporate device life cycle management, into their solutions for DAS projects. We recorded our first revenue from this business this past quarter.  This is a significant milestone for TESSCO and our strategy. However, as we have previously shared, we do not expect significant revenue this fiscal year, but we do expect to see revenues begin to ramp in our fiscal 2023, moving onto our sales channels. As you know, TESSCO sells both directly and online via tessco.com. We continue to invest in tessco.com to improve our customer service and order processing. We expect longer term benefits to our profitability as sales on TESSCO.com typically come with higher margin and are more cost efficient. In Q3, revenue from TESSCO.com increased 3% year-over-year, totaling over $9.3 million engagements, measured in product page views, increased a 160% year-over-year.  We completed a number of enhancements this past quarter, including the launch of Intercom, an upgraded live chat experience, and an AI-based chat box platform. In short, we're very excited about our progress on all of our strategic initiatives and the results we have achieved thus far. With that, let me turn it over to Aric for his financial summary.
Aric Spitulnik: Thank you Sandip, and good morning everyone. As a reminder, the income statement amounts that are all referenced, are all from continuing operations, and exclude the significantly diminished activity from our former retail business. Third quarter revenues increased 3% year-over-year to a $102.5 million, with growth in both our carrier and commercial markets. We achieved these results despite industry-wide disruptions in the global supply chain, which delayed receipt of inventory from vendors, and limited our ability to ship product to customers. We also achieved year-over-year sales bookings growth of 7%.  As Sandip mentioned, we had another record level of backlog at quarter end, totaling $68 million, doubling the amount since the beginning of the fiscal year. Gross profit was $19.6 million for the third quarter of fiscal 2022 compared with $17.3 million for the same quarter of fiscal 2021. Gross margin was 19.1% of revenues for the third quarter of fiscal 2022, compared with 17.4% in the second quarter of last year. Largely due to pricing adjustments and a favorable customer and product mix, including a 23% increase in Ventev revenues. Gross margins in both the carrier and commercial markets continue to be ahead of last year's pace.  We remain focused on cost management, SG&A expenses as a percentage of revenues continued to decline, totaling 18.9% this quarter as compared to 23.8% in last year's third quarter. Last year's third quarter SG&A expenses as a percentage of revenues, would have been 20.8%, excluding the costs associated with the consent solicitation, so still a very significant improvement. We achieved this reduction despite ongoing increases in freight expense, caused by global supply chain disruptions. We continue to manage our IT and corporate expenses, as we look to complete our IT modernization initiative in the next few months.  Third quarter fiscal 2022 net income was $1.2 million, compared with net loss of $5.7 million a year ago. In the third quarter, we recorded a benefit from income taxes of $1.1 million. This is related to a change in a tax accounting method related to the filing of our fiscal 2021 tax return. This return  last month, and we now have over $7 million in receivables for taxes. We would expect to see those funds come in some time in fiscal 2023. Adjusted EBITDA and adjusted EBITDA per share were $1million and 11 cents respectively. This compares to adjusted EBITDA and adjusted EBITDA per share of a loss of $5.1 million and $0.58, respectively a year ago.  Turning to the balance sheet, product inventory decreased by nearly $6 million in the third quarter, as we have sold through much of the inventory that had spiked during Q1. We're remaining strategic in our overall inventory management in the face of persistent supply challenges. The balance on our line of credit decreased by approximately $7 million this quarter, accounts receivable also decreased by almost $9 million. Cash flow from operations totaled $10.6 million this quarter. In early January, we announced steps we took to increase liquidity as we prepare for continued growth.  Specifically, we entered into a mortgage on our Reno facility, resulting in a cash inflow of $6.5 million at a fixed interest rate of 3.38%. We also amended our line of credit, which among other changes, increased the overall commitment from $75 million to $80 million. The net impact of these transactions is that we have improved our liquidity by over $14 million at a relatively low cost. While we don't expect to need this extra liquidity right away, we are looking ahead to make sure we have ample flexibility to execute on our growth plans and manage the current market environment.  Our results continue to trend in the right direction, and I am pleased with how we are executing on our strategy. At the same time, the worsening supply chain disruptions are having an impact on our short-term results. And as such, we have updated our fiscal year 2022 business outlook to reflect our actual third quarter results and anticipated results for the fourth quarter. For fiscal 2022, we're now projecting revenue of $408 million to $425 million, which compares to $373 million in fiscal year 2021, a net loss of $5.5 million to $2.6 million, which compares to a net loss of $14.4 million in fiscal year 2021, and Adjusted EBITDA of between a loss of $2.6 million to a profit of $0.4 million, which compares to a loss of $12.8 million in fiscal year 2021. With that, I will now turn the call back over to Sandip.
Sandip Mukerjee: Thank you, Aric. To echo Aric's comments on the business outlook, the supply chain issues have had a major impact on the projections we've made at the beginning of the year. With a normal supply chain environment, we are confident that our revenues would have been closer to the upper end of our original range we provided back in July. Our profitability would have been solidly within that original range as well. This is evident from our booking’s growth, and how our backlog has grown throughout the year. The TESSCO team is fully focused on maximizing our results for this fiscal year. Before we start the Q&A, I'd like to reemphasize some of the key outcomes achieved during this quarter.  We ended the quarter with $1 million in positive EBITDA, and $1.2 million in net income. We grew revenue and bookings year over year by 3% and 7% respectively, in spite of the supply constraints. At the end of this third quarter, we had a record backlog of $68 million. Ventev had a record revenue and bookings quarter with record backlog. We improved our gross margin, our cost management and efficiency efforts resulted in improved operating margins. And we continue to manage our cash well and gained additional liquidity through our new debt arrangements. Moreover, we also continue to make progress on all three pillars of our strategy: distribution, Ventev and software. The evidence of our turnaround has never been more apparent. With that, we will now open the call to questions.
Operator:  We'll pause for just a moment to compile the Q&A roster. And your first question comes from the line of Maggie Nolan from William Blair. Your line is open.
Maggie Nolan: Hi. Thank you. Nice work on the expense initiatives. I'm wondering what your forward framework is for thinking about incremental operating margin dollars from incremental revenue.
Aric Spitulnik: Hey, Maggie, good morning. So as we look ahead and obviously a couple of different pieces of that from a margin standpoint, just a gross margin standpoint, we think where we are today is relatively close to where we'll be in the future, you have certainly some give and takes with product mix and obviously, Ventev is a big driver of that, as well. But then, from an expense standpoint, we feel like the business is in very good shape, very able to scale with increased revenues. We'll have some incremental things here or there as we continue to invest in the business.  But we don't see any major changes in the upcoming years, I would say or at least in the short-term period, as far as a dramatic need to increase any expenses, other than the variable expenses, like freight and sales commissions and things like that, that go along with incremental sales. So we do believe there's a lot of leverage in this business and scalability as we continue to grow the revenues.
Maggie Nolan: Okay, thank you. On the guidance change, are you viewing this as a push-out in demand? As you think about, changing your guidance and then where the backlog sits. How are you feeling about the setup going into fiscal 2023?
Sandip Mukerjee: Hey, Maggie, this is Sandip, good morning. Let me take that. So we feel very good going into fiscal 2023, Let me comment on the backlog and the guidance. So first on the backlog, it's grown tremendously since the start of the year. We've doubled, so it's up to $68 million today. What is very evident is the predictability of how we retire the backlog. That is increasingly difficult, but we -- but the quality of our backlog is very good. We routinely stretch testers. We've lost very, very, very little of the backlog, so it's stable. So that is going to hugely benefit us in the quarters going forward. From a guidance perspective, let me go with the backlog.  With $68 million in backlog, if we could have retired just a third of that backlog, that will be would have been an additional $20 million to our top lines at the margin performance we are demonstrating, that would have added approximately $3 million to our bottom line. Right, however, that is hypothetical, we're going to try very hard to maximize this fiscal year, but it's very unpredictable and creates a very wide range as far as the guidance. So that's the comment on guidance. And then finally, in terms of future quarters and future years, we are -- this backlog is very beneficial to TESSCO because we're very, very confident this will retire in upcoming quarters.
Maggie Nolan: Thank you.
Operator: . Your next question comes from the line of Bill Dezellem from Tieton Capital. Your line is open. Bill Dezellem from Tieton Capital. Your line is open.
Bill Dezellem: My apologies, I guess I can't manage my own mute button. So I'd like to pick up on the backlog, please. And, normally I wouldn't ask questions that theoretically this remedial, but I'd like to understand it better. Does the backlog indicate that you could have had $68 million more of revenues this quarter? If the product was available or does that backlog really split into two components. 1. future projects that you will be completing, and then those projects that would be immediately available for completion if you had the product available.
Aric Spitulnik: Hey. Good early morning to you, Bill. It is a mix of both. Our customers, just driven by the supply chain realities, they're doing project planning on a longer horizon. So we do have what we call future to ship orders. However, a preponderance of our backlog falls into the first category that you described. That if we had product, we could ship and our customers will be able to consume it.
Bill Dezellem: Okay, that is helpful. Would you care to give us the rough split 2/3, 1/3, whatever it may be?
Aric Spitulnik: It certainly varies, obviously, all the time, Bill, but the 2/3, 1/3 might be in the ballpark. It's hard for us to give you an exact number sitting here today, but I think that's a reasonable back of the envelope estimate of what it would be. And just to give some color both to why it's difficult to pin down that number. I mean, the nature of the supply chain issues and the hunger for product is such that our customers will -- absolutely those who have warehouse capabilities, if we have product, they would keep it and hold on to it, just to de -risk their business going forward.
Bill Dezellem: Right and presumably, in each of the prior quarters, you also had a split, but at a meaningful portion of your backlog could have been shipped in those quarters, had you had the product available?
Sandip Mukerjee: Correct.
Bill Dezellem: Okay. So I guess congratulations. And what a challenge. So maybe let's kind of segue that into inventories. Inventories were down which normally we think of as a favorable phenomenon, but in this environment, it seems like more inventory would be better, but I suspect that part of the reason your inventory was down with strong demand, so can you tie together inventories, how you're thinking about inventory, and particularly that proportion of the backlog that would be immediately shippable if you had the product.
Sandip Mukerjee: As opposed to one remark, related to your previous question, just to help with your question on inventory. What used to be a six-week cycle in terms of issuing our purchase order for our product to actually being able to ship the product, has become many months, almost six months build. If you could keep that in mind as I go through, and try and answer the rest of your question. So related to inventory, there's three things. There's the backlog, there's the completion of skews that we would need to push out a product or a solution to our customer. And there's actual sales.  So what I'm adding to your question is, we are shipping products, generating revenue and growing year-over-year. So portion of our inventory goes towards that, as well, right? The remaining is backlog and inventory that is waiting for components to come in to TESSCO so that we can ship complete solutions to our customers. Now in terms of looking forward, certainly the supply chain, product availability affects our inventory. We might see a little bit of an uptick in future in the upcoming quarter. But we don't expect this to largely have much volatility. Aric, anything you want to add to what I said?
Aric Spitulnik: Just to reinforce that, I think we would like to have a little bit more inventory than what we had. I think I even said that last quarter that we expected inventory to be slightly ahead this quarter. That tells you where the supply chain is that we couldn't even keep up to that level. So we certainly would have more inventory if it was available. So that statement still holds true that we would like to be slightly higher than where we are today. Not where we were at the beginning of the fiscal year, but definitely higher than where we are today.
Bill Dezellem: Great. Thank you, . Continuing just a little bit more, if I may, on the inventory and backlog. You'd mentioned that your customers are planning further ahead and giving you orders with longer lead times. Is that indicative of the supply chain issues and that they are simply themselves trying to get ahead of that, so that you can order in for product that has a longer lead time, you have that or is there some other aspect to that that we're not thinking about?
Aric Spitulnik: The one other aspect, Bill, I would add is our own market share growth, right? We are doing business with more customers than we did before. So our demand is growing, which is adding to this "problem, " but the net to TESSCO was positive, because our bookings are growing, the quality of the backlog is very good, the supply chain issues are not just restricted to TESSCO. It's an industry-wide phenomenon. And we're confident we'll retire the backlog in upcoming quarters.
Bill Dezellem: That's great. Okay. I'm gonna change topics entirely. Inflation. How much inflation are you experiencing and in general, is inflation actually good for you, because you take your margin on the same margin percent, but on a higher dollar amount, which means your gross profit dollars would be higher?
Aric Spitulnik: So inflation, touches us in many ways: there's labor, freight, and there's product. On the labor side, we are working to make TESSCO a better place, right? So employees stay with us, feel good about being part of TESSCO, and we're managing well through it. On the freight aspect, we have gone and looked at how, what kind of freight discounts we give our customers, what delivery gallon guarantees we give our customers. We have come up with a very good algorithm, and a proper value prop for our customers, that helps us manage freight out costs, that has been a net positive for us at Tessco.  From a product inflation or product price increase perspective, we're very diligently ensuring that we don't leave money on the table, we don't lose money, and we pass on the price increases towards our customers. And from an overall industry perspective, this inflationary dynamic that you are describing is well understood and well received. So we are being successful with our efforts. We've also done work overall in improving our gross margins. Which is a result, not just the price effects we just discussed now. But our overall solution mix, we are diligently as per our strategy, adding more Ventev, to our solutions. You've seen an uptake of 23% year-over-year in Ventev performance.  So the net solution that we pushed to our customers that we shipped to our customers. It's more accretive to TESSCO with 11% increase in revenues, our margins have actually increased 16%, but hopefully that gives you full color on what we're seeing though.
Bill Dezellem: Great. And, I'll actually take your answer to lead to the next question, specifically Ventev. Would you talk in more detail? I know you did in your opening remarks, but expand on those if you would, please? Relative to how you're accomplishing that significant growth for Ventev, essentially what drove it?
Aric Spitulnik: Yes. I'll make four points briefly, hopefully that will cover the dynamics. So first, as part of our strategy, we have moved from a project mode of operation to a product mode of operation. I mean, we've talked about this a plenty on these calls, I'm just making a reference to something we've discussed before. This has made our products get a more standard, more configurable, as opposed to customizable. And that has been a good news story for us and kudos to the Ventev team for having been able to turn the dials so quickly. So that is point one. Point two, we have partnerships like the Cisco design in partnership that gives us access to a whole slew of customers that we did not have channels through before, mainly the Cisco bars.  We are seeing a lot of projects come out of those partnerships, and it's beneficial for both TESSCO as well as Cisco. Third is our focus on sales, where we have doubled down much of the Ventev opportunities have come from our commercial side of our business. And you've seen the net improvement in performance on both the commercial side of our business, as well as on the Ventev side. The last point is innovation. We gave color during the earnings call to a number of pretty remarkable projects that we have done. Solving some unique challenges our customers have had with enclosures and tenant configurations. I'll refer you back to the earnings transcript, but it's really innovation.
Bill Dezellem: And so would you anticipate as a result that Ventev's growth will continue at an above industry and above TESSCO growth rate?
Aric Spitulnik: We're very bullish on Ventev and I think the bookings narrative for Ventev that we shared during our call is indicative of that.
Bill Dezellem: Great. Thank you for taking all my questions and congratulations on the successes you did have in a pretty difficult supply chain environment.
Aric Spitulnik: Thank you.
Operator: There are no further questions at this time. I turn the call back over to the management team for some closing remarks.
Sandip Mukerjee: Thank you, Operator. Thanks again to everyone for joining us today. We appreciate your support of TESSCO, and also thank you to our team members for all their hard work and dedication. We look forward to speaking with you next quarter. And this concludes our earnings call. Thank you again, and have a nice day.
Operator: This does conclude today's conference call. Thank you for your participation. You may now disconnect.